Operator: [Korean] [Interpreted] Good morning, and good evening. First of all, thank you, all, for joining this conference call. And now we will begin the conference of the 2014 Fourth Quarter Preliminary Earnings Results by KT. We would like to have welcoming remarks from Mr. Youngwoo Kim KT, IRO and then Mr. conference call will start with the earnings results presentation by Mr. Youngwoo Kim, KT IRO, and then Mr. Gwang-Seok Shin, CFO who will present earnings results and entertain your questions. This conference will start with a presentation followed by a Q&A session. [Operator Instructions] Now we would like to turn the conference over to Mr. Youngwoo Kim, KT IRO.
Youngwoo Kim: [Korean] [Interpreted] Good morning. I am Youngwoo Kim, IRO of KT. We will now begin Q4 2014 earnings presentation. Our call is being webcasted via the Company’s website and please refer to the presentation slide as we present the business results. [Korean] [Interpreted] Please note that since Q1 2011, KT has been presenting consolidated numbers under the IFRS accounting standards. With that, let me invite our CFO, Gwang-Seok Shin , for his opening remarks and presentation on 2014 business results.
Gwang-Seok Shin: [Korean] [Interpreted] Good afternoon. I am Gwang-Seok Shin, CFO of KT. In 2014, as KT started to overcome difficulties with improvement of corporate fundamentals, especially some ruthless business innovation and set its vision and target of becoming global number one KT and achieving GiGAtopia. For a bigger leap, we brought to work company’s colleagues’ spirit. As a result, KT was able to recover its core business performances reaffirming our number one DNA that steadfast in times of crisis. [Korean] [Interpreted] First of all in the wireless business, subscriber growth continued on KT’s strong brand value and stronger channel competitiveness. Also by acquiring more high value users, ARPU growth expanded, name the basis that will expedite earnings turnaround. Especially, the net key plan introduced in time for the handset subsidy act is leading service competition by acquiring more than 1.2 million users in just 70 days. [Korean] [Interpreted] For the wireless business, after declaring the age of GiGAtopia last night, we were the first to bring nationwide commercialization of GIGA internet in October. Since then, broadband subscriber net addition has been growing and IPTV recorded 890,000 net gains sustaining a fast pace of growth. BC Card, KT Rental, KT Skylife and other major subsidiaries are also growing at scale as business leaders at spearhead somewhat. [Korean] [Interpreted] Whilst 2014 was a year where lane basis for a turnaround in growth and improvement in fundamental were the key, in 2015, we will start to see profitability and performance based on that very foundation. [Korean] [Interpreted] There are three key strategic directions for 2015. First, KT will strengthen competitiveness in its core business. With differentiated product strategy visiting the new environment and customer services we will grow our wireless business. Based on the GIGA internet, we will also continue to hold on to our market leadership in the wire line business. [Korean] [Interpreted] Secondly, KT will explore and foster telecom-based converged GIGA service business such as next generation media and IOT and bring forth visible results by concentrating on areas where KT can maximize its ITT capability, we will open up an era of true GiGAtopia. [Korean] [Interpreted] Currently, following last year’s efforts, we will continue rigorously to innovate our business management infrastructure to become agile to its market changes, we are expanding empowerment and we will continue to optimize corporate-wide and group companies’ business structure so as to bring improvements and profitability. [Korean] [Interpreted] Through such effort in 2015, we will strive to achieve above KRW 24 trillion in revenues and although it’s difficult for us to communicate specific profit guidance because of uncertainties in operational environment, we plan to undertake activities with a focus on profit improvements. CapEx is planned at KRW 2.7 trillion. [Korean] [Interpreted] This year, we expect handset subsidy act will take root in the market as we move away from the transitional period and market - will require a new competitive paradigm. Also in the global environment, IOT needs are expanding fast demanding us to respond quickly with our future businesses. [Korean] [Interpreted] Based on regained competitiveness in the telecom business, and unwavering corporate enhancement efforts, KT will lay the basis for solid performance and also secure leadership in ITT convergence services as our future growth engine. [Korean] [Interpreted] In 2014, there was a temporary decline in profitability on the back of business rationalization efforts to make a sounder financial position and I just mentioned this portfolio of companies. For this year, our efforts will start to bear visible outcome in profits and growth improvements. [Korean] [Interpreted] Going forward, we will gain stronger trust from our shareholders, investors and customers and continue to enhance corporate value. Now, I would move on to business results for 2014. [Korean] [Interpreted] 2014 operating revenue fell 1.6% year-on-year to KRW 23 trilling or KRW 121.5 billion and declines in fixed line and merchandize revenue despite improvement in wireless, media, and finance businesses. Due to one-off items, such as the ERP expense in the first half of the year, operating profit recorded KRW 291.8 billion in loss. [Korean] [Interpreted] Net income posted KRW 955.5 billion in loss, EBITDA is down 20.9% year-over-year coming in at KRW 3,483.5 billion. Next to some highlights on subsidiary performance. [Korean] [Interpreted] BC card revenue went up 6.6% year-on-year driven by growth in purchase volumes on credit and check cards and its operating profit rose 10.5%. On subscriber growth, KT Skylife revenue was up 4.1% year-on-year for operating profit fell 20.4% year-on-year due to one-off expense items. [Korean] [Interpreted] On greater momentum in the rental market, KT rental revenue increased 20.9% year-on-year, operating profit rose 12.3%. Next is on the highlights for the company financial position. [Korean] [Interpreted] As of end of Q4, debt-to-equity ratio stood at 186.5%, up 0.4 percentage points Q-o-Q. Net debt was KRW 10885.8 billion, similar to last quarter’s figure. With net debt-to-equity ratio reporting 92.3%. Next is on CapEx. [Korean] [Interpreted] 2014 CapEx came in at KRW 2,514.1 billion, chasing it down to around 93.1% of KRW 2.7 trillion guidance we communicated at the beginning of the year. KRW 900.5 billion was spent on wireless, KRW 1,283.2 billion on fixed line and KRW 330.4 billion spent on others. Next is on the performance highlights of each business segment. [Korean] [Interpreted] In Korean, I said that the percentage was 91.3%, but it actually is 93.1% against the guidance. [Korean] [Interpreted] Wireless revenue edged up 4.8% year-on-year to KRW 7,314.8 billion on ARPU growth driven by healthy e-subscriber expansion. [Korean] [Interpreted] In 2014, there was net addition of 870,000 against the total subscribers and in particular LTE subs were significantly to 10,810,000 expanding the LTE proportion to 62.4%. Q4 ARPU was KRW 35,283, up 9.7% year-on-year. Next is on the wire line business. [Korean] [Interpreted] Wire line revenue recorded KRW 5,538.3 billion, down 7.2% year-on-year. Although PSTN revenue erosion continued, broadband subscriber base continues to expand driven by positive responses from the GIGA internet subscribers. Next is on media and content business. [Korean] [Interpreted] Media and content revenue came in at KRW 1,508.2 billion, up 11.3% year-on-year. KT’s IPTV achieved 5.86 million subscribers to 890,000 net adds in 2014 alone. As such, we continued to solidify our leadership in the pay TV market. [Korean] [Interpreted] Next is on the finance, rental and other services revenues. [Korean] [Interpreted] Finance rental revenue increased 8.0% year-on-year to KRW 4,169.7 billion on gross expansion from BC card and KT Rental. Other services revenue declined 15.3% year-on-year to KRW 1,430 billion on IT solutions and real estate revenue declines. This brings me to the end of 2014 earnings presentation. [Korean] [Interpreted] For more details, please refer to the materials we provided earlier. From now on, we will take questions.
Operator: [Korean] [Interpreted] Now Q&A session will begin. [Operator Instructions] [Korean] [Interpreted] The first question will be provided by Yang Jong In from Korea Investment & Securities. And the next question will be provided by Kim Hong Sik from Hana Daetoo Securities. Mr. Yang Jong In, please go ahead sir.
Jong In Yang: [Korean] [Interpreted] I would like ask two questions. First, selfie introduction of the handset subsidy act, we briefly saw a reduction in the amount of subsidy provided and now we are seeing that it is starting to edge up slightly and also there has been a significant competition in the rebate aspect to those. So could you provide an overall picture as to what the current competitive plans you did and also can you share with us what your fourth quarter SAS number is also what you forecast SAS to be for the first quarter and onwards? Second question has to do with the MVNO business. We recently have seen the market share of MVNO is increasing and some even forecast that the share will increase to above 10%. So, when such expansion of MVNO service does materialize what kind of an impact we will have on wireless players especially on their top-line? And since KT is providing MVNO service to its subsidiary KTT, I would like to understand what your MVNO strategy is?
Gwang-Seok Shin: [Korean] [Interpreted] Since the enforcement of the handset subsidy act, the market participants are looking at various ways to maximize the benefits that goes back to the consumers and the users. Yes, there were some controversies over certain programs like the compensating for the residual value of used phones and yes, there were some ups and downs and fluctuations in market competition. But, I believe that under the spearheading of the regulatory authorities, the market participants as well as consumers will try to pay right balance and equilibrium within the realm of the law itself. So we believe that gradually the market will start to stabilize. [Korean] [Interpreted] Especially, KT is going to stay away from disruptive competition and subsidy and lead the efforts to market stabilization. [Korean] [Interpreted] Now Q4 track compared to the third quarter track it increased a little more than 20%. So therefore, despite the fact that the sales volume had decline quite significantly by 20%. Selling and related expenses regarding the wireless had not fallen as much. [Korean] [Interpreted] Now in terms of the forecast for marketing expenses for 2015, while since the adoption of the handset subsidy act, aside from the subsidy act there are certain changes in providing more different services and also we see more increases in the number of handsets replacement subscribers and there is also moves to reduce the list prices and they are the different service competition. So, we would have to wait and see how the market environment evolves going forward. [Korean] [Interpreted] Now, although we believe that subsidy related - and overheating of competition for the MNO services will not take place in the marketplace and the market is going to become more stable and we will be able to see less of a volatility in terms of market concerns going forward. [Korean] [Interpreted] The MVNO market is mostly for the low-end ARPU customers. So, it is distinctly different from the market that MNO targets. [Korean] [Interpreted] MVNO players also, at the end of the day, they make use of the KT network and they pay the telcos and that translates into profit for KT. So, if the KT affiliated MVNO players are able to attract quite a bit from other companies, then this is a good way for KT to maximize the utilization of the network that it owns. [Korean] [Interpreted] Now MVNO is a market that currently is being promoted at the national level and KT is going to make sure that it responds to the market in an agile and flexible manner, so that it does not lose its leadership.
Operator: [Korean] [Interpreted] The next question will be presented by Kim Hong Sik from Hana Daetoo Securities and the following question will be presented by Moon Jee-Hyun from KDB Daewoo Securities. Mr. Hong Kim, please go ahead sir.
Kim Hong Sik: [Korean] [Interpreted] I would like to ask two questions. 2014 actually, for the KT shareholders was a unhappy year for us since the equity points did not rise and we weren’t able to receive any dividend. So - but this year, KT Rental and KT Capital sales process is bound to come to closing and we expect the net set to decline. So for this year, can we expect and hope for a dividend payout and some increases in the share prices? Second question is that in the fourth quarter, there seems to be quite significant one-off expense items. Do we have to look forward to or do we have to - to be prepared for a similar level of one-off expenses for this year? And can we also expect some improvements in the operating profits?
Gwang-Seok Shin: [Korean] [Interpreted] KT since last year have been building its efforts to turnaround its telco business, to improve on its business structure and also to maximize efficiencies in the expenses aspects. And accordingly, we had a significant amount of ERP related costs and also we sold certain invested securities which led to quite a business loss. [Korean] [Interpreted] But in 2015, based on that restructuring that was undertaken last year, we believe that we will be able to lay a strong basis for improvement in profitability. Although, we are not communicating a specific profit target, we do understand that showing you the actual outcome of such improvement and what is most important. So the company and the overall company is going to be turning its utmost efforts to bring that outcome. [Korean] [Interpreted] Now the dividend payout policy for this year, we will reflect on the mid to long-term dividend policy of the company and also refer to the financial structure of the company, the financial position of the company and make decision accordingly through the VOD. [Korean] [Interpreted] In terms of the dividend for 2015, we will closely monitor the performance in the earnings and communicate to the market in a timely manner. [Korean] [Interpreted] Now in terms of the one-off expenses, KT’s total asset amounts to about KRW 33 trillion and with the development of the technology, there are certain assets whose efficiency will lag behind, so in terms of improving on the financial structure in order to improve on the soundness of the financial structure, we are doing away with such assets. [Korean] [Interpreted] And I understand that much of those low efficiency assists have already been dealt with over the periods of 2013 and 2014. So in 2015, we expect the size of such assets to reduce quite significantly. [Korean] [Interpreted] So in a nutshell, if I were to elaborate, if you look at the Q4 numbers, in the process of improving on our corporate structures and conducting the restructuring, there were inevitable one-off expenses and also some seasonality factors did impacted the numbers. [Korean] [Interpreted] But this year, we expect the outcome of such restructuring to become more visible and therefore we will be able to reduce the basic cost base and also we will minimize on the seasonality aspect. So, we can expect for a better profitability.
Operator: [Korean] [Interpreted] The next question will be presented by Moon Jee-Hyun from KDB Daewoo Securities. Ms. Moon Jee-Hyun, please go ahead ma’am.
Jee-Hyun Moon: [Korean] [Interpreted] I would like to pose two questions. Can you please explain as to what your strategic direction is for this year, especially comparing that to last year, how will it change for this year. I asked this question recently the company has whether strengthened its future conversion business unit. So it will be helpful if you could shed some more light from this aspect? Second question has to do with your media business. As KT has the biggest number of pay TV subscribers in light of the changing regulatory environment and also we hear that Netflix is going to launch it into Korea which would trigger the increases in OTT. How would you paint the picture for your media business going forward?
Gwang-Seok Shin: [Korean] [Interpreted] As was already released via the press, our CEO has mentioned that last year was a year where we made the adequate separation and this year will be a year where we will start to reap outcomes from that separation. [Korean] [Interpreted] For the past year, KT has set a future vision for itself and did it utmost to make sure that its telecom business becomes its growth business and based on such efforts, we are projecting on future conversion business and global businesses within these two arenas starting this year, we will be able to see some benefits. [Korean] [Interpreted] To be a little more specific, KT has elected by the conversion business and service area. First thing, the smart energy in which we integrated security, and servicing next generation media, or healthcare and intelligent transportation into our system. [Korean] [Interpreted] Now we made certain changes in the organization to enhance our implementation capabilities and also to improve on the efficiency. We have exerted efforts to explore new business opportunities and to foster those opportunities. [Korean] [Interpreted] We have actually entered into an alliance of partnership with KEPCO in order to discover new business models and also we are focusing our efforts to claim more benefits on such new initiatives. [Korean] [Interpreted] Starting this year, we will be able to see some visible outcomes in core businesses including the IOT and energy business. [Korean] [Interpreted] Now from a mid to long-term perspective, in terms of - at the core areas such as GIGA, IOT and smart energy, based on their revenue group, we are looking at moving from about KRW 300 of revenue in 2014 to growing to about KRW 2 trillion by 2017. [Korean] [Interpreted] Now unlike the telecom service business, where the growth is currently stagnant, if you look at the media content business, it is still growing and it’s going to become an important cash cow for KT. [Korean] [Interpreted] The telecom business as well as media content business is similar in that services provided to their customers based on the network. And recently, with more number of bundled products and bundled services, we see positive synergy taking place between the two segments. [Korean] [Interpreted] Now basically, if you look at the strategy for KT’s media business, the focus on the core is strengthening of its platform. [Korean] [Interpreted] Basically, within KT, we have multiple number of media platforms ranging from IPTV platform to satellite, mobile, et cetera. And by using the assets that we have to our subscriber base, we can make use of a platform to attract as many subscribers as possible and also generate added value - value-added revenue. [Korean] [Interpreted] Within the company, we are providing T-commerce and mobile ads as well, so various different types of value-added services are currently being provided and based on our competitiveness in these platforms, we will continue to strive to gain growth. [Korean] [Interpreted] So in this aspect, we will continue to closely collaborate and cooperate with companies like KT Skylife, KT Edui, KT Music and Nasmedia in order to maximize synergies. [Korean] [Interpreted]
Operator: [Korean] [Interpreted] There are no participants with questions. [Korean] [Interpreted] The next question will be presented by Sam Min from Morgan Stanley and the following question will be presented by Dan Kong from Deutsche Bank. Mr. Sam Min, please go ahead sir.
Sam Min: Yes, hi. My first question is on telephony. It appears that the telephony revenue eroded around KRW 373 billion in 2014. I was wondering if you have any guidance or outlook on the amounts of erosion for 2015. My second question is the disparity between your consolidated operating income versus your parent’s separate operating income. The disparity is less than KRW 20 billion, but you’ve pointed out that your three subsidiaries, OP are quite bigger than that disparity. So can you point out which subsidiaries are not included in your parent are making these losses and whether they are one-time or potentially sustainable losses? Thank you. [Korean] [Interpreted]
Gwang-Seok Shin: [Korean] [Interpreted] First responding to your question on the telephony business, 2014 telephony revenue recorded KRW 2.6 trillion. So compared to 2013, this is a decline by about KRW 356.4 billion and also in Q4, there was an adjustment in the interconnection fee related items bringing down the figure on a Q-o-Q basis by KRW 92.8 billion. But if that interconnection aspect is taken out of the picture, then the decline is KRW 76 billion on a Q-o-Q basis. [Korean] [Interpreted] Now the outlook for 2015, because of the continuous replacements and migration from the fixed to the wireless, there is going to be a continuous decline in the ARPU figure as well as the revenues being incurred from the users and the subscribers. But by providing a bundled flat rate tariff plan, we are going to do our best to minimizing that. [Korean] [Interpreted] We expect that the total - the growth revenue is going to decline by about 11% or 12% compared to KRW 2.6 trillion of 2014. We expect the 2015 figure to be around KRW 2.3 trillion. [Korean] [Interpreted] Through the contributions on the operating profit by its subsidiaries, in Q3 that amount was KRW 137.1 billion, but in Q4, it declined to KRW 17.6 billion, which is a decline by KRW 119.5 billion. So I feel, on the subsidiary level, there was a one-off impact of around KRW 94 billion. [Korean] [Interpreted] If you look at the BC card due to the early retirement program and the settlement on the fees and commission, there was an one-off impact of amounting to KRW 18.7 billion and also there was an year-end seasonal marketing expense since that were incurred pushing down the OP by about KRW 47 billion. [Korean] [Interpreted] For KTDS and KT Estate, due to the ERP there was a KRW 28 billion related labor cost that got reflected on its balance sheet. So Q4, the subsidiaries had turned into losses. [Korean] [Interpreted] Once again I would like to reiterate that this year, we would see visible outcome from such restructuring efforts. We will be able to save on the cost and minimize on the seasonality impact thereby contributing to improvement on profits. [Korean] [Interpreted] For this year in terms of subsidiary contribution, we are expecting above KRW 500 billion.
Operator: [Korean] [Interpreted] The next question will be presented by Dan Kong from Deutsche Bank and the following question will be presented by Sean Oh from Merrill Lynch. Mr. Dan Kong, please go ahead sir.
Dan Kong: [Korean] [Interpreted] Yes, I understand you did not an ARPU guidance. Can you please share with us what your ARPU projection is, and how are you going to drive that ARPU growth? Secondly, can you please give us an update as to how the KT Rental and KT Capital sales business ongoing at this point? And also do you have any additional restructuring plans for your subsidiaries, for instance like additional ERP at the subsidiary level?
Gwang-Seok Shin: [Korean] [Interpreted] Now, I would like to talk about the ARPU forecast for 2015. Currently, if you were to compare it to 2014, we expect the ARPU growth to decelerate because of the - in terms of the growth rate in the LTE penetration, is it slowing and the overall sales amount is also slowing. However, considering on an absolute basis, considering the fact that the LTE penetration is relatively low and we are seeing increases with the data usage. We expect the ARPU growth to continue. [Korean] [Interpreted] Now as the sales volumes started to normalize, the unlimited sales plan which in the past plummeted are showing signs of rebound. So compared to 2014, we expect for 2015 that the ARPU growth will post slightly higher than 4%. [Korean] [Interpreted] For KT Rental and KT Capital, on the 27th and 28th, the main bidding process had started and currently things are under review. [Korean] [Interpreted] Now, in terms of the upcoming schedule, the sales amounts or more specific aspects, please do understand that it will be difficult for me at this point in time to share with you any additional information. So when the time comes, we will communicate these details with the market. [Korean] [Interpreted] And the proceeds from the sales is first going to be used to improve on the financial position. [Korean] [Interpreted] Since last year, we’ve embarked on the restructuring of a group of companies and subsidiaries and in order to further focus and concentrate our ICT capabilities, we have been reshuffling the overall company portfolio. [Korean] [Interpreted] So if you look at the number of our subsidiaries as the end of the 2013 stood at 56 as of December of 2014, it’s reduced to 51 and once all the - of the current restructuring process is completed, we expect the number to further decline. [Korean] [Interpreted] Also going forward, in light of the capabilities and competencies of each of the subsidiaries, their financial position and their contribution to the ICT synergies, we may decide to either sell liquidate or enter into alliances by investments through the stake holding. So we will continue to reshuffle and organize the business portfolio. [Korean] [Interpreted] However, the size of such deals is going to be smaller compared to 2014.
Operator: [Korean] [Interpreted] The next question will be presented by Sean Oh from Merrill Lynch. Mr. Sean Oh, please go ahead sir.
Sean Oh: [Korean] [Interpreted] I would like to ask two questions. First, can you share with us an outlook for your subscriber number and your LTE penetration? Second question, every quarter, KT had announced all of these one-off expenses. I would like to understand if the new CEO has any plans to look into the details and conduct audit or look at the specifics of these numbers and come up with plans or ways to make sure that such one-offs don’t occur going forward.
Gwang-Seok Shin: [Korean] [Interpreted] Now in terms of the subscriber forecast for 2015, for the MNO market, the market has already reached somewhat of a saturation point. So it will not be easy to increase the number. So rather than going aggressively at expanding the market share, we will focus on maintaining the good level of market and also maintaining the good level of net gain trend. [Korean] [Interpreted] And not only the MNP subscribers, but recently it’s become very important to retain the handset replacement or handset upgrade subscribers. So we will focus on retention of long-term customers as well. [Korean] [Interpreted] Now LTE penetration is continuously trending up and considering the fact that the LTE handset sales account for 85% of the MNO market. We believe that the LTE penetration will move from 67% at the end of 2014 to 75% in the end of 2015 to around 90% from a mid to long-term horizon. [Korean] [Interpreted] Yes, it is true that there has been a significant incurrence of seasonal as well as one-off expenses on a quarterly basis. But we at KT have been building continuous efforts to minimize this impact. [Korean] [Interpreted] And these expenses were the inevitable expenses that were generated in the past as we had attempted on various different businesses. [Korean] [Interpreted] But as we went through 2013 and 2014, a lot of these businesses and lot of these companies we’ve dealt with, so going forward, you can expect significant reductions of these one-off factors.
Operator: [Korean] [Interpreted] The next question will be presented by Sam Min from Morgan Stanley. Mr. Sam Min, please go ahead sir.
Sam Min: Thank you for taking my second question. I was wondering if you can share with us what your core operating income would have been in the year 2014, if all the one-offs were normalized. And when you said, for this year, that you’ll be limiting these one-offs, if you can quantify perhaps what percentage of that could impact core OP we would appreciate it. Thank you. [Korean] [Interpreted]
Gwang-Seok Shin: [Korean] [Interpreted] The Q4 one-off expense is KRW 88 billion, seasonality expense is KRW 87 billion. So, the operating profit in consideration of these one-offs, it would be around the level of Q3 of 2014. [Korean] [Interpreted] Now having said that the seasonal factor could also be incurred this year as well, but once again, we are going to do our best to minimize the seasonal expenses. [Korean] [Interpreted] On a consolidated basis, we expect in excess of KRW 500 billion of subsidiary contribution.
Operator: [Korean] [Interpreted] The next question will be presented by Chung In Young from Goldman Sachs. Mr. Chung In Young, please go ahead sir.
Chung In Young: [Korean] [Interpreted] I have two questions. You shared with us your ARPU target of 4.5% which I think is quite conservative compared to what your competitor has communicated. So I would like to understand the basis for that projection that you’ve made. And secondly, in the fourth quarter, there seem to be quite a bit of expenses that were incurred on the non-operating side, could you give us the breakdown?
Gwang-Seok Shin: [Korean] [Interpreted] As I previously said that our ARPU targets for 2015 will be above 4%. But please be mindful that this 4% is at its minimum. [Korean] [Interpreted] Now coming back to the seasonality structure, once again, KT is in the process of restructuring its overall portfolio. We have focused on improving on the soundness of the financial position and improving on the group of company’s portfolio and in that process, inevitably there were certain losses that were incurred. [Korean] [Interpreted] To be a little more specific, in order to make our financial position more sound, there has been certain asset dispositions and impairment loss related to the base ground stations and certain networks amounting to about KRW 130 billion and also there were impairments and losses from the disposition related to the invested assets that were undertaken in order to improve on the Group portfolio amounting to KRW 90 billion. [Korean] [Interpreted] At present, we are making our CapEx spending more efficient and reducing of the size of the CapEx. So going forward, you can expect that the impact to reduce. [Korean] [Interpreted]
Operator: [Korean] [Interpreted] Currently, there are no participants with questions.